Operator: Ladies and gentlemen, thank you for standing by. Welcome to the General Motors Company Fourth Quarter and Full Year 2012 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, Thursday, February 14, 2013. I would now like to turn the conference over to Randy Arickx, Executive Director of Communications and Investor Relations. Please go ahead.
Randy Arickx: Thank you, operator. Good morning, thank you for joining us as we review our 2012 calendar year results. A press release was issued earlier this morning, and the conference call materials are available on the Investor Relations website. GM is also broadcasting this call live via the Internet. Before we begin, I'd like to direct your attention to the legend regarding forward-looking statements on the first page of the chart set. As always, the contents of our call are governed by this language. This morning, Dan Akerson, General Motors’ Chairman and CEO will provide opening remarks; followed by a review of the financial results with Dan Ammann, Senior Vice President and CFO. Dan Akerson will then conclude remarks portion of our call with some closing comments. After the presentation portion of the call, we will open the lines for questions from the analyst community. In the room today, we also have Nick Cyprus, Vice President, Controller and Chief Accounting Officer; Chuck Stevens, CFO of North America; and Jim Davlin, Vice President, Finance and Treasurer, to assist in answering your questions. With that, I'll like to turn the call over to Dan Akerson.
Daniel F. Akerson: Thanks Randy and thank you to everyone on the call for joining us. From every vantage point, 2012 was another solid year for General Motors. As you can see on slide two, we grew both our sales and top line revenue in earned net income attributable to common stockholders of about $4.9 billion. Special items reduced net income by about $500 million this year, Dan Ammann will walk you through these later on the call. Turning to our operating results, EBIT-adjusted was $7.9 billion for the year, which reflects strong profit growth in many areas of the business. North Americas results tracked very close to 2011. South America and our international operations were up year-over-year and GM Financial had record income before tax. The $400 million year-over-year decline in EBIT-adjusted was more than explained by losses in Europe. Cash generation in 2012 was very solid. Automotive operating cash flow was $9.6 billion and adjusted for free cash flow was $4.3 billion. That’s up meaningfully year-over-year reflecting our increased cash discipline. If you turn to slide three, I’d like to review some of the highlights from the fourth quarter. I’m going to focus on initiatives that fundamentally improved our competitive position and reduced risk. Let’s start with our new products. We planted the seeds of growth in every region around the world. In China, as you many know, 2012 was a record sales year and we gained a four point in market share. We filed this up from January by selling more than 300,000 vehicles in a single month for the first time ever. Domestic sales of Buick, Chevrolet and Wuling brand all set new single month records. Going forward our product strategy is going to become increasingly hard for competitors to defend again. For example, in the fourth quarter we launched the Buick Encore. Now this quarter, we’re starting to build critical math for Cadillac with local production of the XTS. We also introduced the Chevrolet Sail UVA hatchback in India. In South America, we revealed the Chevrolet Onix, which is part of an award winning top to bottom transformation that began in 2011. In Europe, it’s been exciting to watch the Opel ADAM follow the Mokka’s fast start. Especially since both vehicles are in new segments for the brand. The Mokka has more than 80,000 customer and dealer orders. In just a few weeks after the ADAM launch, orders from all across Europe exceeded 20,000 with most of them in Germany. In North America, our most important product news was the reveal of the all new 2014 Chevrolet Silverado and the GMC Sierra full-size pickups. We are going to share more details about these products in March. But I can tell you that every element of these trucks has been improved, including durability, capability, fuel economy and refinement which will help us leverage our 13 million strong owner base. We’ve also have a transition plan to optimize our capacity, sales and market share opportunity in a growing U.S. economy. The GM launching these products is undeniably a stronger company than it was even a year ago. For example, we continue to advance our European revitalization plan and work toward our objective of achieving break-even EBIT adjusted by mid decade. We strengthened the Opel management team with the appointment of Dr. Karl-Thomas Neumann, as Chairman of the Management Board effective from March 1. We’re brining 23 new products to market between 2012 and 2016, while at the same time we continue to rationalize capacity and reduce cost. For example, we recently completed the sale of our transmission operations in Strasbourg France and announced that vehicle production at our plants in Bochum Germany will seize at the end of the current Opel Zafira’s life cycle 2016, assuming we finalize a German labor deal in the next few weeks. In addition we finalized both our purchasing joint venture with PSA and initial product plants which follow the logistics agreements already in place. GM Financial meanwhile has moved from strength to strength. During the quarter we announced the acquisition of Ally’s operations in Europe and Latin America and its joint venture interest in China. When these deals close in ’13 GMF will be able to provide financing in markets that represents 80% of our sales volume, up from about 30% today. We will also be able to meet demand in strategic and uncertain markets, all with very good risk-adjusted returns and a smaller balance sheet than any other captive automotive finance company. Less than a month after we announced the Ally transaction, the U.S. Treasury began to sell down its ownership stake in GM, starting with our 200 million share buyback. Clarity on the government sell down strategy is important because it will help us attract new investors, recruit the best talent and strengthen our brands. That’s why we are eager to put this chapter behind us, but it was a fruitful period in many ways, because we honored our tax payers vote of confidence with hard work and discipline and a long-term approach to the business. This perfectly illustrated why our two other transactions that closed during the quarter, which strengthened our quarter’s balance sheet; first, we successfully reduced our U.S. salary, pension obligation by $28 billion. Not only that we significantly reduced the form of leverage, we also enhanced the income security of our salaried retirees; that’s something that we’re especially proud of. I also note that our U.S. plants were 84% funded at year-end and were not expected to have any mandatory cash contributions during the next five years. The second transaction saw us replace our existing $5 billion revolving line of credit with two new credit facility totaling $11 billion. This additional liquidity is appropriate for a company our size. What made it a landmark deal was the fact that we earned investment grade pricing and investment grade terms and conditions. It’s clearly a vote of confidence in GM and the progress we’ve made. Now, I will turn the call over to Dan Ammann to review our results in more detail and I will rejoin the discussion at the end of the call with some final comments. Thanks.
Daniel Ammann: Thanks, Dan. On slide four, we provided summary of our 2012 calendar year GAAP and non-GAAP results. Net revenue for the year was $152 billion, up 1.3% from the prior year. Excluding the impacts of the FX translation, revenue was 3.8% for the year. GAAP operating income was a large loss due entirely the special items, which we’ll review in a few minutes. Net income to common stockholders was $4.9 billion and earnings per share came in at $2.92. The decline from the prior year was largely due to unfavorable special items this year, this is favorable last year. Our automotive net cash from operating activities was $9.6 billion, a $2.2 billion increase from 2011. For our non-GAAP measures, EBIT-adjusted was $7.9 billion in 2012 and the EBIT-adjusted margin was 5.2%, this improved performance across most of the business in 2012 was offset by the challenging environment in Europe. Finally, our adjusted automotive free cash flow was $4.3 billion for the year, a $1.3 billion improvement from 2011, reflecting improved cash conversion and our increased focus on this areas in 2012. On slide five, we provide the EBIT-adjusted by region for 2011 and 2012. GMNA’s EBIT-adjusted had a slight decline to $7 billion as improved underlying performance was offset by $800 million of lower pension income, GME had an EBIT-adjusted loss of $1.8 billion, down more than $1 billion from 2011 due to the very challenging market conditions. GMIO had EBIT-adjusted of $2.2 billion, as growth in the region continued and GM South America’s EBIT-adjusted was a much improved $300 million for 2012 as the business continued it’s favorable profit improvement on the back of the new product portfolio. GM Financial had earnings before taxes of $700 million, a record result and corporate eliminations was $500 million expense. This totaled to EBIT-adjusted of $7.9 billion, down $400 million from 2011. On slide six, we provide an explanation of the $400 million decrease in year-over-year EBIT-adjusted. Our EBIT-adjusted was $8.3 billion for 2011. Volume was a 1 billion favorable due to increased production in North America and IO, actually offset by a decrease in Europe. This was unfavorable $600 million due to continued shift to smaller vehicles in North America and Europe. Price was a $1.7 billion favorable for the year due to the strength of our new product introductions and net price increases on the vehicles that were launched in prior years. Total costs were up $2 billion including $800 million in reduced pension income and $1 billion from additional material cost from our new product programs. Importantly, fixed costs excluding pension were approximately flat in 2012 relative to 2011. Other was $500 million unfavorable primarily due to an absence in 2012 of favorable lease residual adjustments in North America. Slide seven identifies special items for the fourth quarter and calendar year that had an impact on our earnings per share. I’ll highlight a few of the major items momentarily. At the top of the side, our net income to common stockholders in the fourth quarter was $900 million, and our fully diluted earnings per share was $0.54. The special items listed had a net $100 million unfavorable impact to net income to common stockholders or $0.06 per share favorable impact on EPS. For the 2012 calendar year, our net income to common stockholders was $4.9 billion and our fully diluted earnings per share was $2.92. Special items had an unfavorable impact on net income to common stockholders of $500 million and a $0.32 unfavorable impact on earnings per share. On the next slide we will review our largest special items for the quarter and the year. As a result of three full years of profitability and our recent completion of our business plans which indicated continued profitability, we reverse the majority of our deferred tax valuation allowance in U.S and Canada and recorded a $34.9 billion non-cash benefit. This reversal triggered an associated offsetting non-cash goodwill impairment of $26.2 billion. Last quarter we indicated we may impair assets in GM Europe if the economic and business conditions continue to deteriorate. Unfortunately the industry outlook and other factors have deteriorated and we are now impairing our long lived assets in Europe and recording a $5.2 billion non-cash special item. We continue to work towards our objective of breakeven EBIT-adjusted by mid-decade. Also as we discussed during the third quarter earnings call, we recently completed the annuitization of lump sum agreements for the U.S. salaried pension plan. Together these items resulted in a after-tax charge of $2.2 billion in the quarter to settle the $28 billion obligation. Moving on to the results for the fourth quarter on slide nine, our net revenue was $39.3 billion, a $1.3 billion increase from the prior year. Excluding the effect of FX translation, fourth-quarter revenues increased approximately 4.3%. Again the GAAP operating income performance was driven by unfavorable special items in the quarter. Net income to common stockholders was $900 million, a $400 million improvement from 2011. Earnings per share for the quarter were $0.54 on a diluted basis, compared to $0.28 for the same period in the prior year, and the automotive net cash from operating activities is $500 million. Our EBIT-adjusted was $1.2 billion for the fourth quarter, $100 million improvement from the prior year. EBIT adjusted margin was 3.2%, up slightly from Q4 2011. Our adjusted automotive free cash flow was $1.1 billion for the quarter, a $1.3 billion improvement from the prior year. On slide 10, we provide the EBIT-adjusted by region for the four quarters of 2011 and 2012. GMNA’s EBIT-adjusted was $1.4 billion. GME had an EBIT-adjusted loss of $700 million. IO had EBIT of $500 million and South America was $100 million for the quarter. GM Financial earnings before tax rounded down to $100 million, a slight decrease from the prior year. Corporate eliminations was a $200 million expense. This totals to EBIT-adjusted of $1.2 billion for the quarter of 2012, up $100 million from the same period in 2011. Slide 11 shows our consolidated EBIT-adjusted for the last five quarters. At the bottom of the slide, we again showed the revenue and margins for the quarter. Our global production numbers including our unconsolidated joint ventures was 116,000 units higher than the fourth quarter of 2011. Our global market share remained fairly steady at 11.5%. On slide 12, we provide an explanation of the $100 million increase year-over-year consolidated EBIT-adjusted for the fourth quarter. In Q4 2011, our EBIT-adjusted was $1.1 billion. Volume was $300 million, favorable due to production increases in North America and IO. Mix was $300 million favorable due primarily to improving mix in GMNA. Price was $100 million unfavorable for the quarter because the effect of competitive pressures for all the vehicles more than offset the favorable pricing of our new products. Total costs were up $500 million, which includes $200 million reduction in pension income and $300 million in increased material cost of our recently introduced cars, trucks, and SUVs. Other was $100 million favorable due to increased equity income around non-consolidated joint ventures; this totals $1.2 billion for the fourth quarter. We now move on to our segment results with the key performance indicators for GM North America on slide 13. For the fourth quarter of 2012, our total U.S. market share was 17.1%. Our retail incentive levels on an absolute basis are roughly flat versus the prior year period. On a percentage of ATP basis our incentives for the quarter were 10% equal to the prior year. This puts us to 104% of industry average levels for the fourth quarter of 2012. On slide 14 we show GMNA’s EBIT-adjusted for the last five quarters. At the bottom of the slide, revenue was $24.2 billion in the fourth quarter up $1.1 billion for the same quarter in 2011. GMNA's EBIT-adjusted margin was 5.8% for the fourth quarter down 0.7 percentage points from the prior year due to decreased pension income. Our U.S. dealer inventory was 117,000 units at the end of the fourth quarter. The increase from the prior year includes 28,000 all new Cadillac ATS’s and XTS’s that are included in the prior year as well as increased production of current generation full-size pickups in preparation for this year's launch of the all-new Silverado and Sierra. GMNA production was 775,000 units for the quarter, 36,000 vehicle increased from the prior year. Turning to slide 15, we provide the explanation of the $100 million year-over-year decline in GM North America EBIT-adjusted. GMNA's EBIT-adjusted was $1.5 billion for the fourth quarter of 2011. Volume was $100 million favorable, mix was $400 million favorable due to the recent introductions of the Cadillac ATS and XTS and increased production of other higher-margin vehicles. This is the first time in nine quarters that GMNA has benefited from favorable mix and underscores the importance of that new model launches. Price was $300 million unfavorable due primarily to the effect of pricing actions on our older vehicles for the quarter and as we said up for 2013. Costs were $400 million unfavorable due to $200 million decline in pension income, $100 million in increased costs for our new vehicle launches and $100 million increase in D&A. This nets to an EBIT-adjusted of $1.4 billion. On slide 16, GME reported an EBIT-adjusted loss of $700 million for the fourth quarter, $100 million deterioration from the prior year. Revenue was $5.6 billion for the quarter, down $700 million due to declining industry sales, unfavorable foreign exchange in the small loss of share. EBIT-adjusted margin in the region was negative 12.5%. GME’s production for the quarter was 209,000 units, 40,000 less than the prior year, as we continue to take actions to reduce inventory. GME’s market share in the fourth quarter was 8.3%, a 0.3 percentage point decline from ‘11. On slide 17, we provide the major components of GME’s $100 million year-over-year decline in EBIT-adjusted. Volume was $100 million unfavorable; mix was $200 million unfavorable due largely to a shift in sales to lower margin countries. Price was $100 million unfavorable due to competitive pressure in the region, cost was $200 million favorable, because of $100 million unfavorable material price performance and $100 million in lower restructuring charges, the total to GME’s EBIT-adjusted loss of $700 million for the fourth quarter of ‘12. On slide 18, we show GMIO’s EBIT-adjusted for the most recent period, and the fourth quarter EBIT-adjusted was $500 million including equity income from our joint-venture of the quarter. At the bottom of the slide, GMIO’s revenue from our consolidated operations was $7.9 billion, up $900 million from the prior year. GMIO’s EBIT-adjusted margin from consolidated operations was 0.5%, the decline from the prior year largely driven by increased cost which I’ll cover in a moment. Our average net income margin from our China JVs was 9.1%, a 0.7 percentage point increase from the prior year. GMIO’s total production for the quarter was up 124,000 units from the prior year as we increased our market share to 9.8% in the growing industry. The market share in China rose more than 1 percentage point in the fourth quarter to 14.3%. Turning to slide 19, we provided the major components of GMIO’s $100 million increase in the EBIT-adjusted. Impacted volume was $200 million favorable, it will increase wholesale units into the consolidation of the GM India in 2012. Mix was a $100 million unfavorable. Price was $200 million favorable due to our recently launched products including the whole new Chevrolet Colorado and TrailBlazer. Cost was $400 million unfavorable due to $200 million increase in material and manufacturing costs for newly launching vehicles, $100 million in decrease sales of CKBB, and some other items including the consolidation of our India operations. Other was $200 million favorable, including $100 million increase in equity income. This totals to GMIO fourth quarter 2012 EBIT-adjusted of $500 million. On slide 20, we move on to the South America region, EBIT-adjusted for the last five quarters, excluding restructuring costs for the region was profitable than all four quarters of 2012. At the bottom of the slide revenue was $4.5 billion in the fourth quarter, $300 million increase from 2011. EBIT-adjusted margin in the region was 2.2%, a significant improvement in the loss in the prior year period. GMSA’s production was 223,000 units roughly flat to the prior year. Market share in the region was 17.7% in the quarter, a 0.7 percentage point decline from the prior year. On slide 21, we look at the components of the $300 million year-over-year improvements in our South American operations. The fourth quarter 2011 the region had an EBIT-adjusted loss of $200 million, small production variance had no impact. Mix was $200 million favorable due entirely to the higher margins from recently launched vehicles. Price was $100 million favorable. Cost was $100 million favorable due to the absence of restructuring charges in third and the fourth quarter of ‘11. This totals to $100 million EBIT-adjusted from South America in the fourth quarter. Slide 22, provides our walk of adjusted automotive free cash flow for the fourth quarter. We now exclude the impact of major voluntary management actions such as the repurchase of our common shares from the U.S. Treasury, pension contributions and will continue this practice going forward. After adjusting for non-controlling interest preferred dividends and undistributed earnings allocated to Series B preferred and deducting GM Financial, our automotive income was $800 million for the fourth quarter of 2012. We had $300 million in net non-cash special items, and our D&A was $1.6 billion expense. Working capital was $1.5 billion source of cash due to seasonal decrease in inventory because of sequentially lower production as well as an overall increased focus on working capital management. Excluding the non-cash impact of the annuitization of lump-sum transactions in US, pension and OPEB payments exceeded expense by $2.5 billion. Other was $500 million use of cash, $300 million improvement from the prior year. This total down to automotive net cash provided by operating activities of $500 million. We had $2.1 billion of capital expenditures in the quarter, in addition we have two voluntary management actions that we have excluded from our adjusted free cash flow, of $2.3 billion pension contribution and the $400 million premium rebate repurchase shares from the U.S. Treasury. This total to our adjusted automotive free cash flow of $1.1 billion and $1.3 billion increase from the prior year. On slide 23 we provide a summary of our key automotive balance sheet items. After repurchasing 200 million shares of stock from the United States Department of the Treasury, we finished the fourth quarter with $26.1 billion in cash and marketable securities, with the completion of our new three and five-year credit facilities, our available credit facilities now stand at a $11.1 billion, bringing our total available liquidity to $37.2 billion. Please note we changed our disclosure this quarter to exclude uncommitted credit facilities from these totals. Our book value of debt is $5.2 billion. The $400 million decrease from the third quarter is due to partial redemption of GM Korea preferred shares. Series A preferred stock is $5.5 billion, U.S. qualified pension plans are underfunded by $13.1 billion, a slight improvement versus a year ago, which we’ll discuss further in a moment. Our non-U.S. pensions are underfunded by $13.8 billion at the end of the fourth quarter and our underfunded OPEB liability is $7.8 billion. The increase in these liabilities from the prior year is largely due to lower discount rates. On slide 24, we take a look at the funded status of our U.S. pensions in 2012. At the end of 2011, we had pension obligations of $108 billion and we were underfunded by $13.3 billion, the combined effects of remeasurements are 11.6% asset returns and other items resulted in a $100 million improvement to funded status. We paid out $8.3 billion in benefits to GM retirees and surviving spouses in 2012. The annuitization agreement in the lump-sum offered to salaried retirees resulted in a $28.3 billion reduction in the pension obligation, and a $30.6 billion transferred pension assets for a net decrease of $2.3 billion in the funded status. Finally, we made a $2.3 billion cash contribution to the U.S. salary plan. This was less than the $2.6 billion estimate provided last quarter, meaningfully below the original estimate of $4.5 billion as asset returns were more favorable than previously estimated, borrowing the total cost of the annuitization agreement. Our total unit pension obligations were reduced 25%, our funded status improved to negative $13.1 billion, slightly better than 2011. Slide 25, provides the summary of our order financing activities, GM Financial reported their results this morning and we will be holding an earnings conference at noon. Our U.S. subprime penetration in the fourth quarter has increased over the prior year to 7.2%. Our U.S. Lease penetration is 14.9% in Q4, up 3.9 percentage points from the prior year. Lease penetration in Canada is 6.3%, down from the prior year due to a heavier mix of prior year models in the fourth quarter of 2012. We were below the lease industry averages because we have a richer mix of trucks than many of our competitors. GM new vehicle as a percentage of GM Financial origination stayed relatively constant at 43%, and GM Financial percentage of GM's U.S. consumer subprime financing and leasing was 20% on the quarter. GM Financial’s annualized net credit losses remained low at 3.3% and their earnings before tax were $146 million for the quarter, down slightly year ago, predominantly due to expenses related to the acquisition of Ally’s international operations which is expected to close in 2013. I'd also like to highlight the GM Financial announcement in January, the pricing of $1 billion asset-backed securities offering with the weighted average amount of 1.2%. This is the lowest cost of funds in GM Financial’s history. We will now give an updated view on a few 2013 items on slide 26. Now that we have real stable valuation allowance on deferred taxes in U.S. and Canada, our effective tax rate for GAAP purposes will be approximately 35% in 2013. This action has not affect the status of our operating loss in tax credit carryforwards accordingly our cash taxes for 2013 are expected to be at about the same rate in 2012. We expect to have approximately $600 million in reduced GME depreciation and amortization expense in 2013, due largely to the impairment of long-lived and intangible assets in GME. These reduced D&A expenses were not incorporated into our previously provided outlook for 2013. Under current economic conditions, we don't expect to have any mandatory contributions to our qualified U.S. pension plans for at least five years. Also at the same time, we do not have any current plans to make material pension contributions in 2013, while we will continue to evaluate any opportunistic actions on an ongoing basis. We expect CapEx this is going to be similar to the $8 billion level, we spent in 2012, and finally we expect to have a $200 million unfavorable special item in the first quarter of 2013 for the recent devaluation of the Venezuelan currency. Now I'll hand it back to Dan for his closing remarks.
Daniel F. Akerson: Thanks Dan, on prior calls I’ve talked about playing offense with products designed to win, not just compete. This strategy well in whole display at the North American International auto show in January. Energy around GM was infectious in fact Detroit Main event the Company's best auto shows, since the Alpine days in 1950. Corvette, won best in show, the Cadillac ELR was named best design, the Cadillac ATS took home the North American Car of the Year honors, interestingly the first win ever from Cadillac. All of this was great but in many ways we are still not getting going. During 2013 and 2016 we will refresh our North American portfolio, at twice the rate we did during the last three years. The Chevrolet Silverado and GMC are only the tip of the iceberg. We are redesigning other foundational product like the all new Chevrolet Impala and we are aggressively entering new segments with vehicles like Buick Encore. The same holds true for the Chevrolet product line in South America, where we went from having one of the oldest portfolios in the industry to one of the newest over the span of about 18 months. This includes the aforementioned Chevrolet Onix, which earned the Car of the Year honors in Brazil. In Europe, we are not just cost cutting our way to profitability as we have said many times. In Russia, we are investing $1 billion to expand capacity because we expect the industry there to surpass Germany by 2017. In China, we are investing aggressively in all facets of our business, especially Cadillac and Chevrolet, because the market could reach 30 million units by 2020, that’s up from $19 million today. All of this and more is possible because of our profitability, fortress balance sheet, and solid cash flow. We still have a lot of work to drive down our variable cost and ring complexity out of this system, but with $8 billion in annual investment and our drive for results, GM is setting the stage for more than just higher volumes, market share and profit. We are out to create a sustainable competitive advantage and I am pleased with our progress. Our next steps are crystal clear; stay disciplined financially, and operationally, sharpen our focus on customers, and continue to play offense with new products. Thank you and now let’s open the line for Q&A
Operator: Thank you. Ladies and gentlemen, we will now proceed with the analyst version of the question-and-answer session. (Operator Instructions) The first question comes from the line of Brian Johnson from Barclays. Please proceed.
Brian A. Johnson – Barclays Capital, Inc.: Good morning. Well, I may be the only other person other than Dan, who actually had a Corvette excuse in there past. Still remember that car. I just want to go through kind of this quarter in light of your guidance region by region. And both to Dan, any big changes, I guess when we look at North America and Europe in particular, how much of the improvement in Europe now coming with depreciation is within your control and how much depends on overall market developments, and really kind of the same for North America, thinking about kind of where you guided for SAAR, the kind of pickup truck next you have in mind. And then I guess for Dan Akerson around that kind of – what is your sense of Europe right now in terms of your two to three year goals and with the new team in place, how much is really in your control versus how much is depended on competitors taking up capacity and improving the price point?
Daniel Ammann: Okay, well it’s Ammann, I’ll address your first Europe question, I’ll hand it to Chuck to North America and then to Dan in response to your last question. I think as we look at the environment for 2013, really as we talked about a few weeks back-end as we talked about back-end Q3, we see the industry down this year, and obviously find out by how much as we go through the year, but our view on the industry has not gotten any more bullish, let’s put it that way. As it relates to the things that we control, I do think we feel better and better about the things that we control. We feel very good about the team that we now have on the ground, we have KT Neumann joining in addition all the other changes we made for the three quarters of the last year. We feel pretty good about receptivity of the new vehicles launches into the market, as Dan commented we have 80,000 orders for the Opel Mokka, 20,000 orders in already for the Adam, which is barely even getting going yet. And those vehicles from a profit contribution point of view will be quite favorable relative to the balance of the portfolio there, so we feel good about that, and what we control on the product side. We feel good about the progress we are making on the cost side of the business, capacity actions, consolidating from 3S to 2, the run out at Bochum, the sale of the Strasbourg transmission facility, and so on and we feel good about the progress on the SG&A front. So the things that are in our control, we feel like we are making good progress on, the great unknown of course is what happens in the European economies. What happens to end markets demand, and the nature of where that demand is, profits of different by country, different by channel, and so on and obviously that’s not within our control moving to play that out as we go.
Chuck Stevens: Yeah, Brian relative to North America, yes your question was related to industry and nothing is changed from the outlook that we provided a couple of weeks ago. We are looking at the industry, $15 million to $15.5 million. Total truck segment share 11% to 11.5%, and our share of trucks somewhere in the range of 36% to 38% for the year, relative to the other drivers that we talked about back in January, I think our view is still consistent with that.
Brian A. Johnson – Barclays Capital, Inc.: And on the just the technical point on the GM Europe mid decade break-even, is that now break-even plus $600 million with the depreciation or was it $600 million at some point contemplated within that break-even number.
Daniel Ammann: When we’ve provided those outlooks, they were excluding the impact of the $600 million.
Brian A. Johnson – Barclays Capital, Inc.: Okay, thanks.
Daniel F. Akerson: Let me just say yes, good question. How much is within our control, I thought Dan did a pretty good job, but it’s not like we’re just hoping for the best. One thing we can’t control is the market, but we have certain leverage we can post. PSA agreement for both logistics and purchasing will kick in and also we’re going to do, co-development on the MPV-B and MPV-C and the B segment cars that should in the out years toward build the decade and on should benefit the joint-venture by about $2 billion over that period of time. We’re going to be smart about how we cut costs and just closed plans. I mean we closed Antwerp in ‘11, that was a big deal and it actually forwarded some leeway in early part of ’11, where we were actually profitable, and then the European crisis kicked in the summer of the ‘11. I think what you see when we sold Strasbourg and why do well sell it? Well, it was cheaper to take a write-down of $100 million than it was to pay for the labor discontinuity and the cost associated with that. I think that’s smart move. In the interim in the last year, as I said Dan touched upon a two, Bochum will play out because the Sierra is not going to be assigned to the plans after the ‘16 timeframe. So we’re still in the midst of labor negotiations, we hope to ramp up relatively quickly over the certainly within this quarter is our hope. We’ll have more to report on that. In the meantime, we’ve also reduced headcount in Opel by 2,500 people last year, and we’re doing that, we’re just trying to reshape, remold the costs, the SG&A, the cost profile that we project and we think it will be about (inaudible) this year we continue to work, it’s a work in progress. At the same time, we can’t just play defense, we are trying to play offense, we are in two new segments that we’ve never been in before, the Adam and the Mokka represent two new segment entry and we have to continue to do well in the segments we are in. So with all of this, I know it’s kind of a white mosaic that I have tried to characterize or portrait here. It’s our objective to hit break-even by a decade or there above.
Brian A. Johnson – Barclays Capital, Inc.: Okay, thanks.
Daniel Ammann: Yeah.
Operator: Thank you. The next question comes from the line of Rod Lache from Deutsche Bank. Please go ahead.
Rod Lache – Deutsche Bank: Good morning everybody. I was hoping first you can explain just two items on the North American year-over-year bridge, there in the decade shows $100 million impact from volume, production was up about 36,000 units which would imply that $2800 vehicle which is a bit lower past seven quarters have been $6000 to $9000 vehicles and you also mentioned in your commentary in North America that pricing actions that you have well for 2013. Was there any one-time pricing adjustment recorded in this quarter? You did make some adjustments on the nullable for example.
Daniel Ammann: Yeah, let me take that valid chart. From a volume perspective, production was up 36,000 units, wholesales however were up 21,000 units and when we factor in the impact of variable manufacturing that brought the overall volume impact to about to 138 million and 20,000 units, so I think that’s relatively consistent with the variable margins we have reflected in the past. Relative to pricing, when you think about Q4, the economic price in Q4 year-over-year was kind of flat MSRP increases offset increase in sales volumes and MSRP increases on both carry over and new product, the big driver of the unfavorable price was stock adjustments, primarily driven by the recognition of the GMT 900 transition and likely increased incentives as we move through the next six months on that. So that was the primary driver of Q4 price.
Rod Lache – Deutsche Bank: Okay. So that was like a retroactive adjustment to inventory that you had which might have been usually high?
Daniel Ammann: It’s essentially topping up the anticipated liability on inventory on hand in total for expected incentives going forward.
Rod Lache – Deutsche Bank: Okay, and I was hoping you might be able to fill in a few blanks on Europe. How much was the non-recurring impact that you incurred from inventory de-stocking you commented on, some pretty big numbers that you took down, which presumably doesn’t recur this year. And then the negative side, how are you thinking about FX moves and pricing looks like, Europe pricing was maybe $1400 a vehicle this quarter. Should we be thinking something similar into the next year?
Daniel F. Akerson: So on the inventory side, we hit our objective for the year-end inventory for the company which was under 100,000 units. So we think we’ve set our sales in reasonable shape going forward on that. In terms of how much of that is sort of growing business, non-recurring pieces, I mean obviously it’s just going to be a function of what happens to demand. So going forward our goal is to keep inventory in and around where it is. Obviously seasonal moves within there, but on an overall basis, keep that roughly in line. Sorry, could you repeat the second part of the question.
Rod Lache – Deutsche Bank: FX.
Daniel F. Akerson: FX, yeah, FX obviously we have seen some strengthening of the euro that hurts relative to the UK market and the sterling there. It’s favorable relative to imported product, particularly what we're importing from Korea. So I’d say overall strengthening euro is a headwind as of right now, but we will continue to try getting – it just goes accordingly. 
Rod Lache – Deutsche Bank: Okay, and on pricing, it looks like pricing was about $1400 a vehicle in the quarter.
Daniel Ammann: Yeah, pricing, I mean we’re continuing to manage pricing actions here in conjunction with what's going on in the market. We're obviously looking to make up as much as we can, product launches that we have going on in the marketplace. Too soon to tell exactly how pricing can unfold for the year at this point.
Rod Lache – Deutsche Bank: One last one, I was wondering whether you might care to comment a little bit on the shape of this year's 2013 earnings, just presumingly you're going to be facing some launch clause and pricing actions in North America in the beginning of the year and then things get better. Any broad commentary if you're willing to provide on what we should be expecting unusually this year?
Daniel Ammann: I don't think there's going to be anything too unusual, I think you may see things a little more back-end loaded especially out of the first quarter that we have seen in previous years. It’s not a huge change, but I'd say there was some more waiting for the middle and back-end of the year.
Daniel F. Akerson: Yeah, another dynamic in there too as well Rod is, our full size SUV plants were down three weeks in the month of January as part of the conversion. So that's going to have a bit of an impact on Q1 and as Dan mentioned I think we will see, a bit more weight in the second half of the year versus the run rate over the last three years.
Rod Lache – Deutsche Bank: Great, thank you.
Operator: Thank you, the next question comes from the line of Itay Michaeli from Citigroup. Please proceed.
Itay Michaeli – Citigroup: Great, thank you good morning. Just want to talk about the pension. You’re indicating that you’re not expecting to make any voluntary contributions. Can you update us on your latest thinking around potential de-risking actions for the Ally plants in the U.S.?
Daniel F. Akerson: Well, I’d say overall with our total de-risking strategy, we’ve come a very long way over the last couple of years with a whole host of actions, all of which we have talked through here multiple times. And I think where we ended the year, we feel very, very good about in terms of having got the salary deal done all of the other actions that was taken and it gives us a level of flexibility that we would not have had at this point in time. As we mentioned in our comments, we have five years. We expect with no mandatory contributions and what that does for us is, it gives us a lot of flexibility. We’ll continue to look at opportunities to further de-risk for sure, dug all or further de-risk as we move along. And if some thing compelling comes along, we’ll act on it. So I think what we’re really signaling here is because of the actions we have taken we feel like we made a lot of progress and we’re in a position where we have a fair amount of flexibility. So we will still act if something interesting comes along.
Itay Michaeli – Citigroup: Absolutely. And then going back to the taxes, the cash tax rates should be pretty similar in 2013 versus 2012. Yeah, how should we think about cash taxes beyond 2013, is there certain rate we should be modeling in terms of the out years or is there a better way of thinking about kind of the cash tax benefit relative to the higher effective GAAP tax rate?
Daniel Ammann: Well in 2012 we were roughly 10% and we’re signaling that we’d expect that to hold till 2013 and I think the next two years beyond that it would be similar to that?
Itay Michaeli – Citigroup: Great, and then Scott, lastly how should we think about working capital in 2013, as hopefully production starts to come back a bit in the second half of the year perhaps in Europe, should that be less of the headwind, maybe even a tailwind for you in 2013?
Daniel Ammann: Well we had some reasonable performance in, tailwind from an earnings point of view or a cash point of view, depends on …
Itay Michaeli – Citigroup: Cash flow to working capital.
Daniel Ammann: From a cash flow point of view, we continue to see opportunity, we made some progress in 2012 relative to our original plans for the year on that front and we brought more discipline and a pretty keen focus on that and we’re seeing the benefits of that from month-to-month. So we continue to see opportunity on that in ’13. What I would point out is most of you will know is that typically Q1 is the sizable outflow from working capital and then Q2, Q3 through the middle of the year it tends to be more sort of neutral and then we get a sizable pickup in the fourth quarter just based on shutdowns and so on. And we’d expect that seasonal pattern to continue this year, hopefully with some overall improvement underlying that.
Itay Michaeli – Citigroup: That’s great. Thank so much guys.
Operator: Thank you. The next question comes from the line of Patrick Archambault with Goldman Sachs. Please proceed.
Patrick K. Archambault – Goldman Sachs & Co.: Yeah. Thank you, good morning. I have a cash question and a Europe question. I mean first on the cash question, it looks like if you were to generate something close to what you generated this year or maybe slightly above you’d be back into the $30 billion cash range, and you’ve stated that at least for 2013 there’s no voluntary contributions required. So can you just maybe walk us through what the remaining cash calls are on what seems to be a fairly sizable piece of liquidity there. And if there’s any room for additional shareholder actions potentially throughout this year?
Daniel F. Akerson: So there’s a couple that are fairly obvious, one is they’re closing of the (inaudible) transaction, what we said at the time was that would be about a $2 billion cash contribution from the motor company to the finance company to close that, so that’s one number. Secondly, we pay about 900 that gets lost in the mix sometimes. If we pay about 900 million a year in dividends so that’s another call on that. Our mandatory convertible which is a piece of that will convert at the end of this year, so that will go away going into next year into ‘14. We have the Series B, the VEBA preferred that’s out there that becomes callable at the end of ’14 and that’s a very expensive piece of paper and that’s something that we would like to redeem as soon as it’s reasonably able to be done. So it’s something that’s not this year, but that’s on the horizon. And then we have potential other voluntary pension actions, should interesting opportunities come along on that front. So there are handful of sort of known and identifiable items out there. And obviously we will overlay on that, opportunities from a shareholder point of view, we took from our perspective very major step in that direction around the UST buyback at the end of last year and we bought the balanced to the way that we’re deploying cash.
Patrick K. Archambault – Goldman Sachs & Co.: Okay, thank you, very helpful. And then onto my question on Europe, maybe two things, number one is; it’s been written in the press, I don’t know if it’s out but that the cooperation with PSA has kind of downshifted a bit. There is no longer the D segment program. I think it’s the B and then some SUVs. My first question is sort of, why the narrowing of the scale of cooperation, just give them the need for variable cost efficiencies down the road. And then number two is what’s the prognosis perhaps for bringing some Chevrolet stuff into your OPEL facilities, you know things like the Cruze or Chevy version of the Mokka or something like that? Thank you.
Daniel F. Akerson: This is Dan Akerson, I will answer that. I think a wise man once said, you can’t believe everything you read. And there is a great ad on television about, yeah I read it on the Internet, that’s got to be true. Don’t take too much stock into what you read, lot of people like to talk. This all good robust and healthy joint ventures are based on self interest and when you can’t pencil a car like the D segment car and for either party, then you shouldn’t do it. I mean this isn’t some sort of fraternity here, it’s a co-calculated business deal. We respect the PSA folks a lot and the relationship is good. From a manufacturing point of view, whether we would shift around the globe and bring Chevrolet to Europe or that we won’t comment on. That is something we look at on a routine basis, but we are not going to wash our laundry in the public about what we may or may not do. I apologize for that.
Patrick K. Archambault – Goldman Sachs & Co.: Okay, great. Thank you very much.
Daniel F. Akerson: Thank you.
Operator: Thank you. The next question comes from the line of Chris Ceraso from Credit Suisse. Please proceed.
Chris J. Ceraso – Credit Suisse: Thank you. Good morning. Quick question about the consolidated portion of IO, do you have the number there Dan on the adjusted EBIT and it looks like it was a bit of a down shift from the previous run rate, can you explain what the weakness there was? 
Daniel Ammann: Yeah. As I said in my prepared remarks, it was down a bit from the previous run rate, mostly due to timing of some cost items in there. I will say that as we covered in January, that we do see margin pressure in the IO business this year, some of that driven by currency and the strengthening of the Korean won. We have a big manufacturing base in Korea. As you know not as big as some, but the given (inaudible) so we see some currency headwinds there that will bring some pressure on the cost equation relative to the revenue right here.
Chris J. Ceraso – Credit Suisse: Okay. Can you give us a feel for some of the big picture cost items as we walk from 2012 to 2013, what are you thinking about material costs, what’s your expected change in pension expense, other structural cost changes. In addition to that you mentioned exclusively the $600 million in the amortization, what are some of the other big puts and takes from ‘12 to ‘13?
Daniel F. Akerson: This is for the whole company or?
Chris J. Ceraso – Credit Suisse: Yeah. I guess for North America, and then if there’s anything specific beyond that for other regions, that will be helpful?
Daniel F. Akerson: Well, Chuck can comment it briefly, we don’t want to get into a modeling exercise here, line item by line item, but we’ll – and we gave a fair bit of color back in the meeting in January, but Chuck, if you…
Chuck Stevens: Yeah. I think just directionally as we talked back in January, there’s material performance, freight performance will be relatively flat obviously there’s going to material cost increases associated with new product launches that will be more than offset by price. From a fixed cost standpoint, as we talked about three big drivers, I think there’s going to be reduced pension income year-over-year that we talked about before non-cash, D&A will be up, primarily tooling associated with the new programs, another non-cash item and we’re investing in significant amount of money in incremental marketing in 2013 to support new product launches as well as improve our share voice. So those are the three big fixed cost drivers year-over-year.
Chris J. Ceraso – Credit Suisse: Okay. 
Chuck Stevens: A couple of them on cash.
Chris J. Ceraso – Credit Suisse: You don’t want to go into any specific numbers around those?
Chuck Stevens: No.
Chris J. Ceraso – Credit Suisse: No, okay. And then just on Europe, you were very clear in the text that the $600 million is added into the earlier guidance, but you also mentioned that you decided to take that action because things deteriorated. So if the previous guidance was that Europe would be better in ‘13 than ‘12, is it better again by $600 million or is the underlying worse than you thought just a few weeks ago?
Daniel Ammann: Well, I guess it’s this way, which is back in Q3. We said two things, we said we have an objective to break-even by mid-decade and then we saw an opportunity for buying slight improvement in ’13 relative to ’12. So as we said on the outlook and then we separately said that there is a chance that we may impair our long-live assets in Europe. So we said all that together in the third quarter, as we’ve gone from Q3 through Q4, we’ve seen as we expected we have seen a deterioration in the environment in Europe from an industry perspective, from an economic perspective, from a fourth quarter top line perspective, and that led to the impairment analysis, and the impairment charge that we’re showing there. So in that outlook that we provided, the $600 million D&A savings was not incorporated into that outlook.
Chris J. Ceraso – Credit Suisse: And then just the last one, you guided a 35% tax rate, Ford’s been running at about 32%, they were full year into not having evaluation allowances, is there anything that’s materially different about your mix of profit that would argue for a higher tax rate for you?
Daniel F. Akerson: From our perspective 35% was an estimate of where it will be. We don’t have the benefit of tax benefits on our European losses for example, whereas I think they do, so that could be something that’s a difference between the two.
Chris J. Ceraso – Credit Suisse: Okay. Thank you very much.
Operator: Thank you. The next question comes from the line of John Murphy from Bank of America Merrill Lynch. Please proceed.
John Murphy – Bank of America Merrill Lynch: Good morning guys. First question for you Chuck, I mean as we look at the capacity utilization you ran out in the fourth quarter, 93.4 and then full year 97.5, that's pretty heady, I mean just somewhat capacity constrained or getting close to it. Just curious if you think about that versus your pricing strategy broadly, is there any reason that you would soften pricing or increase incentive, it seems being capacity constraint you might consider raising prices more broadly, I understand there are some specific programs and inventory here, and there you need to take some actions, but you're in a good position, the industry seems like you want to get to a position on its capacity utilization, I’m just curious as you're thinking about 2013, shouldn't this be a good year for pricing?
Chuck Stevens : Yes let's talk about capacity first, that's 97% on a two shift basis. If we looked at our capacity on a three shift basis, ultimately we'd like to be in the range of 120% to 130%, so there's an opportunity to continue to drive that, we've got 8 plants on three shifts so we'd like to increase that, so we continue to same structural cost. But talking about pricing next year and where we are with the GMT900, obviously we want to transition through that, and have a good position in the market from a share standpoint as we launch the K2XX, we don't want to give up market position from that standpoint, so I think when you look at carryover pricing year-over-year, the biggest headwind or challenge we'll have will be related to the GMT900, I think from the rest of the portfolio perspective we're going to continue to opportunistically look at improved pricing. 
John Murphy – Bank of America Merrill Lynch: Okay that's very helpful and then Dan and mentioned you got a ABS deal of $1 billion at 1.2% at GM Financial obviously that is very inexpensive relative to what you're charging your customers, just curious are we going to see a lot more deals like that for GM financial over the BOD in the future, where you are actually doing sort of on balance sheet funding for a GM Financial?
Daniel Ammann: Those are on balance sheet securitization so there have placed it on the GMF balance sheet, and that’s being a primary funding tool for GMF over the last little while because it’s just such an efficient way to fund number one. Number two, it matches perfectly the duration of the assets and the liabilities, so you don’t get into any sort of carry trade issues if you like there. We have issued over the last year and a half, $1.5 billion of unsecured debt out of GMF at increasingly attractive rates as well. And so we are migrating to a broader set of funding tools for the business there, as we grow the portfolio. The acquisition of Ally will further broaden out the sources of funding that we have for the business. So it’s a pretty deliberant and steady development of the funding base, keeping it as efficiently as possible, well matched liquidity point of view as possible, diversified sources of funding, pretty much the evolution that you want to see as we continue to grow the business.
John Murphy – Bank of America Merrill Lynch: Okay, and then just lastly on cash structure and how you are looking at adverses, which were invite to shareholders, obviously the pensioner kind of cap this as far as putting cash contributions likely in this year, you’re talking about focusing on the mandatory convert in VEBA things that you might be focusing on next as far as taking down. Could there be more share buybacks or dividend putting in place before you get the mandatory, and you even referred that out of the way, or do you think you need to sort of focus on building up cash and taking those out before you return more value to shareholders recognizing you already bought back shares, but I’m just curious sort of in order of operations, where cash flow go there?
Daniel Ammann: Well I take a couple of things, one just a minor point, which is the mandatory convertible, will convert to common stock in November (inaudible) terms so that’s not a cash flow per se, that’s more cash opportunity, because once that converts, we want to be paying the coupon that we are paying on that currently, so it’s the point on that one or generally I would say, we have a pretty disciplined capital allocation framework that we have used over the last year plus now that we used to review opportunities with our Board of Directors that we look at everything on a relative basis in there. And so what I identified earlier was to find opportunities that we see out there, we are always evaluating relative attractiveness of one opportunity over the other, things come along that we don’t expect necessarily or as planning for such as the buyback that we executed in December; that wasn’t something that we foresaw as a defined opportunity, too much ahead of times, so I guess the point is there are things out there that we know we would like to do. There are opportunities that are well defined right now that could come along and we will evaluate those in a defined disciplined risk adjusted return to our share owners framework.
John Murphy – Bank of America Merrill Lynch: That’s very helpful. Thank you very much.
Operator: Thank you. The next question comes from the line of Adam Jonas from Morgan Stanley. Please proceed.
Adam Jonas – Morgan Stanley & Co. LLC: Hey thanks everybody and Dan I would like the freudian slip on the core ware there to be an interesting Valentines Day present. Question on Europe, Opel, we understand you have done a great job of reducing inventory at the company level, can you give us an update on where you stand in terms of unit inventory at the dealer level?
Daniel F. Akerson: Dealer level is a little higher. And we are working that down sort of through this quarter as well. So I would say we are in better shape on the company side than we are on the dealer side, but we are making some good progress on that as well, and when we think about inventory, we think about obviously the whole chain if you like and we are focused on both of these.
Adam Jonas – Morgan Stanley & Co. LLC: Okay. And a question on your preserved guidance either in the U.S. or Europe incorporate in anyway 94 yen-dollar or 125 yen-euro, have you or do you expect to see any competitive pressure from the Japanese players as a result of this.
Daniel F. Akerson: I guess I mean the whole currency equation is much more multidimensional than just what the yen doing on the flip side, we felt that as I said earlier, the Korean Won strengthening which tells me other direction for those guys. So you also have, when the yen strengthened as much as it did going back few quarters, are you sure to rush the localization by some of the Japanese to get more localization here. So there may not be a perfectly symmetrical unwind system either side of that as well. So what we said our plans for the year, we obviously have FX assumptions in there, say as we move into their early part of the year, there are some tailwinds, and some headwinds too soon to call the overall effect for the year. South America for example, Brazilian Real move favorably for us there. So we gave you the impact of the Venezuelan devaluation. So…
Adam Jonas – Morgan Stanley & Co. LLC: Got it.
Daniel Ammann: Certainly, equilibrium has been a lot of currency activity already or a lot of contracts.
Adam Jonas – Morgan Stanley & Co. LLC: Okay. I appreciate that, and just finally, you’ve been looking for new head of global marketing for about six or seven months. We believe you’re still interviewing candidates from outside the Company, how is that going, is there still a unified head of global marketing job to be filled or are you moving back to global brand has instead, so that there is no longer really relevant, and in that vein, we’re still on track for the $2 billion of savings from commonwealth as a result of potentially reconsidering your global marketing strategy? Thanks.
Daniel F. Akerson: The answer to the question is it will probably evolve more to a global market brand head, rather than the global chief marketing officer. And yes, the commonwealth structure was got in place, which largely surrounds Chevrolet is still operative, still in place and the saving is still projected.
Daniel F. Akerson: Yeah, no change there.
Adam Jonas – Morgan Stanley & Co. LLC: Thank you.
Operator: Thank you. The last question will come from the line of Ryan Brinkman from JPMorgan. Please proceed.
Ryan J. Brinkman – JPMorgan Securities LLC: Hi, good morning. Thanks for taking my call. At the Detroit show you guided to roughly flat GM Financial earnings year-over-year in 2013, inclusive of a partial euro profits from Ally’s International operations, and I am not sure what your assumptions are for one that varies to proportions of Ally international close or what you expect in terms of profit contribution from those operation. So maybe you can just help me understand, what your underlying assumptions are for the current core North American GM Financial operations in 2013. It would seem to incorporate a decent decline and I was just hoping you could walk through some of the drivers there given that they are coming off at a record year in 2012?
Daniel F. Akerson: Sure, well, I think the outlook that we provided stands, which is there will be core for the existing GM will be down slightly, and offset by some portion of a partial Europe in the Ally business. Exactly how that’s a function of when the transaction closes and the closes in a series of steps by geography, so that’s all still moving around somewhat. What I would say is on the core GMF business is, we have had some tailwinds last year from some of the pre-acquisition portfolio and how that was accounted for and would gone through that previously that gave some extra yield to some of those assets through the P&L. So a little bit of that tailwind in that one would occur this year. So there is no huge change in the fundamental outlook, it’s more just some of the way that the accounting worked for some of the pre-acquistion portfolios rolling off and we are back to kind of a core for the business. So I’d say that the assuming the Ally transaction is closed roughly on time through the second and third quarters that we would expect year to be essentially roughly flat year-over-year.
Ryan J. Brinkman – JPMorgan Securities LLC: Okay great. Thanks then last question, full size pick up truck sales have improved recently in U.S. it looks like your share also got quite a bit stronger in December and then January relative to what it was in October and November, so can you maybe just discuss for us, the sensitivity of your North American earnings to these pickup truck volumes and maybe just kind of walk us through how you’re feeling now, about the pickup truck market in the U.S. and your inventories in light of how the market and your share has trended over the past couple of months. Thank you.
Daniel F. Akerson: Yeah, I would say that first we need to recognize that our capacity in full size pick-ups is relatively flat year-over-year. We are going to have significant downtime and transition time, so as the industry improves, as the segment share increases, our share increases. There is not a lot of production upside, what it does is helps us reduce our inventory levels, and from an inventory perspective I would say after December and January results, we are executing to our plans. There is a lot of variability and volatility in that, but we are reasonably comfortable with our truck inventories, where they are now, as we head into the transition. So I would say from a 2013 perspective there is pretty limited upside on full size pick up production just because of the transition.
Ryan J. Brinkman – JPMorgan Securities LLC: Okay, great thanks for all the color. Congratulations on the quarter.
Operator: Thank you Mr. Arickx. I will now turn the call back to you, please continue with your presentation or closing remarks.
Randy Arickx: Thank you, operator. Thanks everyone for your time today. We will be talking to you soon. Bye now.